Operator: Ladies and gentlemen, thank you for standing by. Welcome to the FNF 2015 First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. Now I would like to turn the conference over to FNF Treasurer, Dan Murphy. Please go ahead.
Daniel Kennedy Murphy - Treasurer, Senior VP & Head-Investor Relations: Thanks. Good morning, everyone, and thank you for joining us for our first quarter 2015 earnings conference call. Joining me today are our Chairman, Bill Foley; CEO, Randy Quirk; President, Brent Bickett; and CFO, Tony Park. Also, we have Tom Sanzone, CEO at Black Knight; and Kirk Larsen, CFO at Black Knight. We'll begin with a brief strategic overview from Bill. Randy will review the title business and Tony will finish with a review of the financial highlights. We'll then open the call for your questions and finish with some concluding remarks from Bill. Please note that we are only focused on FNF on this call and we'll have a separate FNFV call at noon Eastern Time today. This conference call may contain forward-looking statements that involve a number of risks and uncertainties. Statements that are not historical facts, including statements about our expectations, hopes, intentions or strategies regarding the future are forward-looking statements. Forward-looking statements are based on management's beliefs as well as assumptions made by, and information currently available to, management. Because such statements are based on expectations as to future financial and operating results and are not statements of fact, actual results may differ materially from those projected. We undertake no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. The risks and uncertainties which forward-looking statements are subject to include, but are not limited to, the risks and other factors detailed in our press release dated yesterday, and in the statement regarding forward-looking information, risk factors and other sections of the company's Form 10-K and other filings with the SEC. This conference call will be available for replay via webcast at our website at fnf.com. It will also be available through phone replay beginning at 1:00 p.m. Eastern Time today through May 12. That replay number is 800-475-6701 and the access code is 357912. Let me now turn the call over to our Chairman, Bill Foley.
William P. Foley, II - Chairman: Thanks, Dan. This is a great start to the year for both our title insurance and Black Knight businesses. The significant rate of decline in January and the strength of the purchase activity in February and March helped us generate a solid 10.3% pre-tax title margin in what was our seasonally weakest quarter of the year. I will let Randy speak in more detail about the title business. Black Knight also had a strong start to 2015, generating 11% organic revenue growth, led by the Data & Analytics, RealEC and Origination Technology divisions. Adjusted EBITDA was $96 million, representing an adjusted EBITDA margin of 41.9%, a 750 basis point margin improvement over the first quarter of 2014. In the first quarter, we started recognizing revenue from a large, multi-year licensing agreement with a major industry participant and had one month of revenue from a large loan origination technology contract with a significant national bank. Black Knight is in the final stages of closing on a new $1.6 billion senior secured credit facility that is expected to consist of a $400 million senior secured revolver and $800 million senior secured term loan A and a $400 million senior secured term loan B. Black Knight will utilize a significant portion of the $1.6 billion credit facility and proceeds from the anticipated Black Knight initial public offering to repay the remaining $1.5 billion in Mirror Notes and intercompany loans with FNF and approximately $210 million of the Black Knight senior notes. FNF will, in turn, repay its $1.1 billion term loan in full and will have approximately $400 million in additional cash available at the holding company level. Finally, we are also on track to launch the Black Knight initial public offering over the next several weeks, and we look forward to Black Knight operating as an FNF majority-owned, publicly traded company. I'll turn the call over to Randy Quirk to discuss the title insurance business.
Raymond R. Quirk - Chief Executive Officer: Thank you, Bill. The first quarter was a solid start to 2015. The significant rate decline in January helped us generate a 63% increase in refinance open orders and a 49% increase in refinance closed orders in the first quarter versus the first quarter of 2014. Additionally, purchase open orders showed improving strength, growing by 12% in February and 10% in March versus the prior year months. Consequently, we were able to achieve a solid 10.3% pre-tax title margin in what is our seasonally weakest quarter of the year. We also believe our title operations are well-positioned to generate higher pre-tax title margins as we move into the second quarter. For the first quarter, total open orders averaged approximately 9,500 orders per day, with January at 9,500, February at 9,800 driven by an 8% per day sequential increase in open purchase orders versus January, and March at 9,100 as March refinance open orders declined by 19% versus February. Of the 9,500 total open orders per day, approximately 7,500 were at FNT and 2,000 were at ServiceLink. The mix towards purchase transactions increased each month in the quarter, as 49% of January FNT orders were purchase related, 53% of February FNT orders were purchase, and 60% of March FNT orders were purchase related. In April, total open orders per day averaged 9,200 and purchase related open orders grew by 9% over April of 2014. We had another strong quarter in our commercial business, generating $213 million in total commercial revenue, a 22% increase over the first quarter of 2014. As we only began tracking total local commercial orders and fee per file in January of 2015, we are not able to compare those total metrics to the prior year. However, national commercial revenue of $119 million increased by 14%, as the fee per file grew by 5% and closed orders increased by 9%. The total fee per file of $1,833 decreased 1% versus the first quarter of 2014. The FNT fee per file of $2,055 decreased by 4% over the first quarter of 2015, and ServiceLink's fee per file of $921 was a 9% decrease over the prior year as ServiceLink had an increase in centralized refinance orders. With the increase in open and closed orders, we did add to head count during the first quarter. We increased head count by approximately 500 positions, with approximately 425 of those coming in FNT, a 5% total increase, and 75 in ServiceLink, a 6% total staffing increase. Let me now turn the call over to Tony Park to review the financial highlights.
Anthony J. Park - Chief Financial Officer: Thank you, Randy. We generated nearly $1.6 billion in revenue in the first quarter, with title generating approximately $1.4 billion in total revenue and Black Knight contributing $227 million in total revenue. Adjusted net earnings were $106 million or $0.37 per diluted share. The title segment generated nearly $1.4 billion in total revenue for the first quarter, a 13% increase over the first quarter of 2014. Direct title premiums increased 19%, while agency premiums increased by 9%. Our direct operations received more of the heavily California-based refinance transaction volume we experienced in the first quarter. Thus, the direct premiums increase was larger than the increase in agency premiums. Personnel costs increased by 4.5%, but after backing out the ServiceLink severance and synergy bonus expenses in the first quarter of 2014, personnel costs increased by 11%. Other operating expenses declined by 3%, but after backing out the ServiceLink transaction costs in the first quarter of 2014, other operating expenses still only increased by 3%. So while direct premiums increased 19%, adjusted combined personnel cost and other operating expenses increased by only 8.5%. ServiceLink produced revenue of $206 million, adjusted EBITDA of $23 million, and adjusted EBITDA margin of 11%, adjusted pre-tax earnings of $18 million and an adjusted pre-tax margin of 9%. Interestingly, as more centralized refinance orders began to close in March, ServiceLink produced more than a 12% pre-tax margin. Black Knight generated first quarter revenue of $227 million, an adjusted EBITDA of $96 million, an adjusted EBITDA margin of 41.9%. That was a 750 basis point margin increase versus the first quarter of 2014. Core FNF debt outstanding remained at $2.7 billion. As Bill mentioned, we intend to repay the $1.1 billion term-loan from the $1.5 billion debt repayment from Black Knight. Our debt to total capital on a consolidated basis was 31% at March 31. Total title claims paid were $60 million during the first quarter, a decrease of $7 million or 10% from the first quarter of 2014. We continue to expect 2015 full year claims paid to be below $300 million. Finally, our core FNF investment portfolio totaled nearly $4.3 billion at March 31. From a regulated standpoint, we have approximately $1.7 billion in statutory reserves, $1.6 billion in regulated cash and investments, and approximately $700 million in secured trust deposits, for a total of approximately $4 billion in regulated cash and investments. From an unregulated perspective, we have approximately $85 million of unregulated cash at core FNF as of March 31. There is also approximately $120 million in consolidated cash and investments at Black Knight and ServiceLink, and approximately $60 million in cash at subsidiaries that is restricted by minimum working capital or other requirements. Let me now turn the call back to our operator to allow for any questions.
Operator: Your first question comes from Jeremy Campbell with Barclays. Please go ahead.
Jeremy E. Campbell - Barclays Capital, Inc.: Thanks, guys. I know you guys said that the BKFS IPO should be sometime in the next several weeks, but I know this is a little bit dependent on SEC comments. But, could this get done before the end of May or do you have any other kind of more specific timing in mind?
William P. Foley, II - Chairman: Well, we're really right at the finish line on the IPO. So, we're waiting for comments – the final comments back from the SEC. We hope to have those comments no later than Thursday this week. If that were the case, then our schedule is to launch the IPO early next week, actually do some initial meetings later this week and actually – and launch the IPO next week and I believe the closing date under those circumstances, Brent, would be what...
Brent Bannister Bickett - President: In May.
William P. Foley, II - Chairman: In May, like May 26, or something like that or May 23. So, yeah, to answer your question, the goal is to have the IPO done in May.
Jeremy E. Campbell - Barclays Capital, Inc.: Great. And then you guys have previously guided to like mid-to-high single digit revenue growth for Black Knight in the first half of the year and then accelerating into the back half. Given that, that revenue grow like in 11% pace this quarter, does that really change your outlook for full year revenue growth for Black Knight?
William P. Foley, II - Chairman: No, the revenue growth is the same in terms of the second quarter. But, once we get to the implementations that are occurring in August, we do expect an acceleration of revenue growth in the second half of the third quarter and then the fourth quarter. So, the first quarter was skewed slightly by a large data and analytics contract and also the conclusion of a major implementation of full integration and implementation with a very large bank. So that deferred revenue that was associated with that particular institution then started rolling into reportable revenue. So that was kind of the slight skew-up in the first quarter. So, no, we're – we believe 6% to 8% in the second and third quarters and moving towards the high side of that percentage.
Jeremy E. Campbell - Barclays Capital, Inc.: Got it. And then can you give us any updated thoughts around potential buybacks from the net kind of proceeds from the intercompany debt prepayment, and then your free cash flow?
William P. Foley, II - Chairman: Absolutely. No, that was part of our statement in the first quarter or in the – at year-end when we were doing those earnings that we want to make sure that now we start returning some value to shareholders and we take that $400 million and start engaging in a consistent buyback. And our buybacks have consistently – we usually buyback 50,000, 30,000, 70,000 shares a day, somewhere in that number. So, we can stretch that out. And then we'll see our cash flows later in the year and it could be increased or it could be decreased. But just as soon as we conclude the IPO when we have attained or obtained the proceeds from the recapitalization, the buyback will begin. We're already – we've already got an authorization, a big authorization.
Jeremy E. Campbell - Barclays Capital, Inc.: Great. And then just finally on title margins, obviously 1Q is usually seasonally weakest, and you guys posted over 10%. How much of that was structural versus how much of that was benefited from like the centralized refi volume, picking up the quarter, and what does that mean for margins for the rest of the year?
Raymond R. Quirk - Chief Executive Officer: Well, for our margins for the rest of the year, obviously, the first quarter here was a very, very strong quarter. We had good refi's. In January, a lot of them closed, and February and March will roll into the second quarter. With the purchase market picking up as it has for the first three months of the year, we will catch those closings in the second quarter and third quarter and get a higher fee per file. So, our 10.3% in the first quarter, our target is always 15%, has been 15%. We're going to be moving in that direction through the second – and second quarter and third quarter. Most of the activity has been in the field on the purchase side and of course on with ServiceLink the centralized platform got the benefit of a real nice run up on refi's in January and February.
Jeremy E. Campbell - Barclays Capital, Inc.: Great. Thanks, guys.
Operator: Question from Eric Beardsley with Goldman Sachs. Please go ahead.
Eric Beardsley - Goldman Sachs & Co.: Hi. Thank you. Just back to the buyback, after you get through, I guess, this initial excess cash flow you'll be sitting on, after the repayment of debt, how should we think about, I guess, your ability and willingness to return capital to shareholders over the longer-term?
Brent Bannister Bickett - President: Hi, Eric. This is Brent. Just to follow-up on what Bill said. Our debt to cap ratio after the Black Knight recapitalization should be around 28%. We finished the quarter at about 31%. So we have to be mindful of that ratio. Clearly we're generating lots of net earnings, so that'll be helpful for that calculation. We do want to drive that down to about 25%, while still engaging in that consistent buyout that Bill said. And as we go through the years, and we look at our earnings, we could always make adjustments as we look at those ratios.
Eric Beardsley - Goldman Sachs & Co.: Got it. So primarily guided by the debt-to-capital ratio, as we look out past this year?
Brent Bannister Bickett - President: Correct.
Eric Beardsley - Goldman Sachs & Co.: And then just as we look at the title segment results, was there anything that led to the strong escrow in other revenue this quarter?
Anthony J. Park - Chief Financial Officer: I think escrow fees trended right in line with our direct premiums. We have – in the other bucket, we do have some different businesses. We did make a home warranty business acquisition that added to those results as well as another real estate company acquisition that added about $20 million to those results. So other than that, it was pretty consistent with the run rate we saw on our direct title operations.
Eric Beardsley - Goldman Sachs & Co.: Got it. And the margins on those acquisitions, are those consistent with the rest of the business?
Anthony J. Park - Chief Financial Officer: Home warranty tends to run into the middle teen, so that's pretty consistent. The real estate company is a little less than that, closer to about 10%.
Eric Beardsley - Goldman Sachs & Co.: Okay. Great. Thank you.
Operator: We have a question from Bose George with KBW. Please go ahead.
Bose George - Keefe, Bruyette & Woods, Inc.: Hi, guys. Good morning.
William P. Foley, II - Chairman: Good morning.
Bose George - Keefe, Bruyette & Woods, Inc.: Just one more on capital allocation. Once the Black Knight spin is done, how should we think about uses of capital? So if Black Knight essentially kind of funds its own growth, is capital at FNF really just for dividends and buybacks or how else should we think of that?
William P. Foley, II - Chairman: Yeah. I think that's actually a good way to think about it. Black Knight will be self sustaining. It will be a big debt, it will have the capacity to pay down its debt fairly rapidly. There are acquisitions that can be made at Black Knight that will round out its business operations, giving it a little more scope and scale. But at the FNF level, our acquisitions are very, very modest. They are small title agencies in various parts of the country, they could be real estate brokerage companies in various other parts of the country, but it's not a large use of capital. So you should be thinking about FNF going forward at least for the next couple of years as being a repurchaser of shares and a dividend payer, and that's kind of...
Bose George - Keefe, Bruyette & Woods, Inc.: Thanks, great. And then, actually one on the TILA-RESPA deadline in August, do you think that could have any sort of slow down or delays in closings – not for you guys, but for the market as a whole?
Thomas J. Sanzone - Chief Executive Officer, Black Knight Financial Services LLC: Well, a lot of institutions are not as far along in terms of compliance as we are. Black Knight is really fully engaged with all of its customers and it's doing a great job, and the same with our title business. So we are in good shape. But Randy, I don't know if you think that there might be a hiccup.
Raymond R. Quirk - Chief Executive Officer: Yeah. There could likely be some delays as you go through into August. It's phased in to some degree in that the closings prior to August will close on the old process and the new orders August and – through August into September will close with the new documents and the new process. The national banks are – we are working closely with the national banks and they seem to be in pretty good shape. On the real estate side and the consumer side, it might get a little complicated as we begin the process. But I think it's more just going to be a situation where there is some delay until people get familiar with the new closing process.
Bose George - Keefe, Bruyette & Woods, Inc.: Okay. Great. Thanks.
Operator: Question from John Campbell with Stephens, Inc. Please go ahead.
John Campbell - Stephens, Inc.: Hey, guys. Good morning. Congrats on a great quarter.
Raymond R. Quirk - Chief Executive Officer: Thank you.
John Campbell - Stephens, Inc.: So Randy, I think you said you guys staffed up by about 500 full-time employees in the quarter, so just two quick questions related to that. Just first, were those added ratably throughout the quarter or was there more so added at the first end or back end of the quarter? And then, number two, I mean it looks like 2Q originations look like they could be highest by a pretty wide margin in 2Q. So assuming those fall off a little bit throughout the year and into next year, is it fair to say that the big staffing lift is pretty temporary?
Raymond R. Quirk - Chief Executive Officer: Yes. I would say that it's quite temporary. Most of the adds were through the middle part. I think we all got a little bit surprised with the run up in January on the refinance side. So it took us a while to catch up the productivity of the title product and then pushing towards the closing. So we loaded up more towards the end of the quarter and that's spilling over into the second quarter. Of the 500 positions, about 125 of those or 25% of those came in through a couple of small acquisitions we made also, so really the number would be 375 in the title group, less the 75 in ServiceLink, so about 300. But, as we move through the second quarter, the closings should start to settle down particularly on the refinance side. So we're going to slow the hiring down as we get through May, June and July. We've added probably another 100, 125 so far through April, but the process will slow. It's very, very fluid as you've seen over the years, when the market takes off, we add and when it slows down, we bring people out. And a lot of this is done just with local people that are in the areas that have worked with the company before. So it's a little bit like seasonal work versus going through the more expensive temp services, but we're very fluid on it.
John Campbell - Stephens, Inc.: Got it. That's helpful. And then, just back to the pre-tax margins, Randy, I think you said that you'd be approaching that kind of 15% level, the kind of low end of range. If we were to assume that the MBA or Fannie, Freddie, the forecasts are pretty accurate for 2Q, and if we were to assume kind of high single-digit title growth, would you guys be disappointed with anything below 15%?
Raymond R. Quirk - Chief Executive Officer: Well, it's a little bit of a loaded question, but as you know, we're always pushing for that 15%. We need a little more help from the purchase markets, so it's going to depend really on how that fee per file changes that we get more towards the mix on the purchase side, but our our target is that 15% mark.
John Campbell - Stephens, Inc.: Okay. That's helpful. And then, just back on purchases, I think, Bill, I think actually as you quoted in the press release saying the purchase orders were up 12% year-over-year in February then up 10% in March, and I think you guys might have just said that April is up about 9%. So that seems like that's kind of tracking in line with the industry. But if you take the metrics that you guys gave for the opened and closed orders, I think it just kind of implies on the open orders or open orders per day in March that, that the growth in purchase was not quite as good as what you guys had said. So I didn't know if that was due to some of the hitch (25:10) in reporting. I know you guys change up the commercial business stuff, or maybe we might have had the business days for month long, but anything you can provide there?
William P. Foley, II - Chairman: I believe you are going to start seeing a good solid purchase market keep on increasing in April, May, June as we move into the summer months and people start relocating their families and then getting to – they want to get relocated for schools and so on. March was – had some difficult weather, so that's – sometimes that delays the purchases. So we're really -- now we're in baseball season, so we're going to have good weather and it's a good time for resale transaction. So we felt very – I mean, we felt very, very good about the performance in the first quarter. It's one of the best first quarters the company has had in literally years and years and years, getting that kind of title margin in the first quarter. And Randy working toward the 15% point in the second, third quarters and four quarters and with a strong commercial market, we feel really good about the balance of the year.
John Campbell - Stephens, Inc.: Great. That's helpful. Thanks, guys.
Operator: Question from Mark Hughes with SunTrust. Please go ahead.
Mark Douglas Hughes - SunTrust Robinson Humphrey: Yeah. Thank you, good morning. Did the – a new contract startup couple of big contracts, did that impact the EBITDA at Black Knight in Q1? And then, any commentary on the new business pipeline at Black Knight would be helpful also.
Anthony J. Park - Chief Financial Officer: Sure. Tom, do you want to – Tom or Kirk, do you want to handle the EBITDA portion of the question maybe, Tom talk about the pipeline.
Thomas J. Sanzone - Chief Executive Officer, Black Knight Financial Services LLC: Yeah, go ahead, Kirk.
Kirk Larsen - Chief Financial Officer, Black Knight Financial Services, LLC: So the EBITDA question, the couple of contracts that we mentioned, the data analytics, long-term strategic data deals did have a meaningful impact on EBITDA as that comes in at a very, very high margin. The implementation where we had one month in the quarter didn't have a meaningful impact, but certainly going back to data deal, it did.
Thomas J. Sanzone - Chief Executive Officer, Black Knight Financial Services LLC: Yeah. And as far as the business environment, our pipeline remains strong across the businesses, definitely across the origination business. We thought there would be a low post-August, but we're seeing additional clients buying product for delivery post-August either fourth quarter or first quarter of next year. So, yeah, we are still signing material deals that will affect the P&L in the future.
Mark Douglas Hughes - SunTrust Robinson Humphrey: Thank you.
Operator: Question from Alex Veytsman with Monness, Crespi. Please go ahead.
Alexander Veytsman - Monness, Crespi, Hardt & Co., Inc.: Thank you. Good morning, guys.
Raymond R. Quirk - Chief Executive Officer: Good morning.
Alexander Veytsman - Monness, Crespi, Hardt & Co., Inc.: Just a question on the commercial revenue trends. Could you give us kind of more color on how you see trending over the next three quarters? I mean, do you think the 20% year-on-year growth very sustainable? And also what are the core drivers you're seeing for the commercial revenue side?
Raymond R. Quirk - Chief Executive Officer: Well, yeah, commercial has been strong for the last couple of years. We finished very strong 2014 and coming out in the first quarter, which is typically weak after a strong previous year close coming out in the first quarter looked real to us. Our guys are projecting growth as we move through the year. It's hard quarter-by-quarter, because large transaction will close in one quarter or maybe push over to a second quarter. But the projections are for another very, very strong market here in 2015. The multi-family new and existing properties seem to be leading the charge with the very large trophy buildings to getting more expensive, a lot of the commercial activity is now pushing back into these secondary markets with the offshore investors. So, a lot of dynamics on the market, we've got a real good network with our multiple brands. And we're optimistic about where it was going to go here in 2015.
Alexander Veytsman - Monness, Crespi, Hardt & Co., Inc.: Got it. Thank you, guys.
Operator: Question from Chris Gamaitoni with Autonomous Research. Please go ahead.
Chris Gamaitoni - Autonomous Research US LP: Thanks for taking my call. Most of my questions have been asked. The only follow-up is, do you have any commentary on the potential impact of the new title rules in New York?
Raymond R. Quirk - Chief Executive Officer: Yeah, are you talking about the Department of Financial Services, new regulations being proposed?
Chris Gamaitoni - Autonomous Research US LP: Yeah.
Raymond R. Quirk - Chief Executive Officer: Yeah. Well, we're looking at that. This just came in at the end of last week. So our regulatory guys are looking at it. They seem to be focused on inducements and markup – markup fees on ancillary products. We don't expect it is going to be any material effect to either our revenue or our profitability. We have some good companies up in New York, but when you get to our direct operations, only about 25% of our revenue comes in through those operations. So we're going to work closely with the regulators. There should be a public comment period starting here after they publish these regulations. We'll work closely with them and see where it ends up, but we believe we'll be in good shape as we move through this.
Chris Gamaitoni - Autonomous Research US LP: Okay. Thank you.
Operator: Question from Jason Deleeuw with Piper Jaffray. Please go ahead.
Jason S. Deleeuw - Piper Jaffray & Co (Broker): Yeah. Thank you and good morning. On national commercial title, revenue was up 14% year-over-year. And I just want to make sure there wasn't any like one-time large deals or anything that kind of skewed that number in the first quarter or maybe we have a pullback in the second quarter. Is the first quarter growth, is that just kind of reflective of the overall strength of the commercial market?
Raymond R. Quirk - Chief Executive Officer: Well, yeah, I think you've got it. I think it's just the strength in the market. We have large transactions that close almost every quarter. So there wasn't anything that was particularly significant in the first quarter that we wouldn't potentially see in the second quarter, third quarter and fourth quarter.
William P. Foley, II - Chairman: And Jason, normally in the fourth quarter of every year, the commercial business really – everyone drives for closing before December 31. So often January, February, March are slower commercial-wise, and also slower on the entire transaction side for the title business. So we're kind of through the slow quarter. This is going to be a good commercial year.
Jason S. Deleeuw - Piper Jaffray & Co (Broker): Good. Thanks for that. And then on the residential title business, the overall origination market right now is low relative to historical levels running about $1.2 trillion in originations, and you guys have cut a lot of costs over the years. And I'm just wondering, with this lower level of originations that we're at right now, are your incremental margins higher now given the slow level of originations than if we were in a high origination market. So if we do get some upside or growth on the origination level, maybe we can expect higher incremental margins?
William P. Foley, II - Chairman: Actually that's an interesting point, because we have taken about seven years to retune our entire operations, become more – have stronger platforms in terms of technology, be more efficient. And so we made that 10.3% title margin in the first quarter because we are very, very efficient at a fairly low level or low rate of originations. So when the originations come back, there will be a period of time in which those margins will really go through the roof, because we will not be able to hire the people fast enough and to kind of catch up, and that always happens if we have a nice little spike or a nice little boom. The only downside to that is that the rates have been so low for so long that how much more refinance – how many more refinance transactions can we expect? There probably won't be a refi boom, there'll be normal refis as five-year loans come due and so on. But we're well-positioned. I mean hard work for years and years is paying off.
Jason S. Deleeuw - Piper Jaffray & Co (Broker): Thanks. And then the last question is on the provision rate going forward. What can we expect from that, given that claims continue to trend at a pretty low level?
Anthony J. Park - Chief Financial Officer: Yeah. So we're providing currently a 6%, that's actually a little above what we're experiencing over the last several years. We've kind of filled the hole that we had through the 2005 through 2008 years where loss ratios were high, but have been on a real nice trend that's well below 6% of title premiums for the last five years or six years now. Conceivably, it comes down. We want to be careful not to dig any holes. But we are now positioned above our actuary central estimate. It's a good spot to be. It's not always a place where we've been, but we are there now and have been for the last couple of quarters. So we'll see how it plays out. But conceivably, we could come down a little bit off that 6% of title premiums, which is where we've been for about 12 months now.
Jason S. Deleeuw - Piper Jaffray & Co (Broker): Great. Thanks, guys.
Operator: Question from Kevin Kaczmarek with Zelman & Associates. Please go ahead.
Kevin Kaczmarek - Zelman & Associates: Hi, guys. Regarding the New York regulator proposal last week, I understand on the direct side you see little impact. But can you give us a sense of your thoughts on how your New York agent community might react and do you have a sense of whether some of their profit margins may take a hit?
Raymond R. Quirk - Chief Executive Officer: Well, like I said, we just received the proposed copy of the regulations here or at least a draft of the proposed regulations. We just received those a few days ago. So we haven't really reached out yet to the agents, but I think everybody will look at it the same way. If there's some violations that are taking place, if we get those taken care of, work with the regulators, we're all better off. I couldn't really comment on what the financial impact would be for the agents.
Kevin Kaczmarek - Zelman & Associates: Okay, great. Thanks a lot. And all my other questions have been answered.
Operator: We have a question from Ryan Byrnes with Janney Capital. Please go ahead.
Ryan Byrnes - Janney Montgomery Scott LLC: Great. Thanks. Good morning, guys. I just had a question on kind of the RealEC, the contract length, the sales cycle, and I guess kind of maybe the stickiness of that product.
William P. Foley, II - Chairman: Sure. Tom, do you want to take that one?
Thomas J. Sanzone - Chief Executive Officer, Black Knight Financial Services LLC: Sure. Well, RealEC is really the exchange which is – that's transaction oriented business, not long-term contract in nature, but pretty steady as far as the amount of activity that goes through the exchange. The CI product, which is being developed in RealEC, that goes live in August, is a long-term contract product, and I would say it's somewhere between five years and seven years, most of the deals and with minimums and the like, so very similar to the way we do our deals in ServiceLink.
Ryan Byrnes - Janney Montgomery Scott LLC: Great, thanks. Thanks is all, I guess.
Operator: A question from Michael Brell with Frost Investment Advisors.
Mike R. Brell - Frost Investment Advisors LLC: Yeah, hi. I have another question on how operating leverage at the title division has changed over the years. How have acquisitions impacted operating leverage the last few years?
William P. Foley, II - Chairman: They probably have not impacted operating leverage as much as they've given us more tentacles out in a marketplace. So really the bigger we get, the more acquisitions we make, and as we collapse the back-office and have centralized accounting, finance, HR, underwriting, all that centralized, as we add more front-end to that, you really don't add anything on the back-end. So I guess in that fashion, there is operating leverage with acquisitions and growth in the revenue. We're really at a point where we're so large, we're not able to make large acquisitions as we did with Lawyers Title or LandAmerica back in 2008 or 2009, which was really our last large integrated acquisition. But the smaller acquisitions, as Randy was referring to, again, we collapse the back-office, so we get more operating leverage. But really what happens is the operating leverage just comes up to the level that FNF is already achieving. So that's where we get that 15% title margin. And that 15% margin equates to 20% to 24% at the branch level. So we have our expenses, our corporate expenses that take away from our branch operations. So I don't think, going forward, there's going to be significant, the operating leverage on acquisitions, they just aren't big enough now for us to have that impact.
Mike R. Brell - Frost Investment Advisors LLC: Yeah. And what about the impact of the LPS transaction service business that was rolled up into the title division. Would that have increased operating leverage?
William P. Foley, II - Chairman: Yeah, totally. Yeah, absolutely. I mean we took out – I don't know the exact number of synergies that were removed when ServiceLink merged with LPS. Unfortunately, at the same time that was happening, we were going through a real retraction in the refinance business and also the default business was retrenching. So had things remained as they were two years ago, the operating leverage would have been gigantic. But the result was we took out a lot of cost and expenses and we've maintained the profitability of ServiceLink, that ServiceLink ultimately should be in that 20% pre-tax margin range and the first quarter was around 12% plus or minus. So we're set at ServiceLink, which was the former LPS transaction business as well. We're set to get those margins again. We just don't point out the marketplace for it.
Mike R. Brell - Frost Investment Advisors LLC: Okay. And one last question. And does the open order mix impact your hiring decisions? For example, if you have more refinance open orders, does that mean you have to hire fewer employees versus if you saw strong growth with purchase orders?
William P. Foley, II - Chairman: There are less hires with a purchase situation. I mean you have more hires with a purchase situation, less hires with a refinance – in a refinance environment. But the refinance environment is primarily run through the ServiceLink and LPS business, the national business. And what the company does is really manages to the type of orders that are – they have that – where the inflow is coming from and measures orders per day, closings per day by employee, by numbers of employees. So we're really a metric driven company. So if we get a spike in orders, we'll add people as slowly as we possibly can to get as most margin as we possibly can. And if they're refinance orders, you might add a person to the title department, but you're not going to add any more escrow officers, they're just going to be busier. So that's kind of the way – and it's managed daily at the county level and weekly at the corporate level. I mean it's a pretty intense metric-driven management program. It's why we get the margins we get, it's why our margins are twice our closest competitor.
Mike R. Brell - Frost Investment Advisors LLC: Thank you.
Operator: No further questions in queue. I'll turn the call back to Mr. Foley for closing remarks.
William P. Foley, II - Chairman: Thanks. First quarter was a great start to 2015. While this was a strong first quarter in our title business, we expect higher pre-tax margins as we enter the second and third quarters. We also believe that a publicly traded Black Knight can be a source of further value creation for all of our FNF shareholders. Thanks for joining us this morning.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.